Operator: Greetings. Welcome to Helen of Troy's Second Quarter 2024 Earnings Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to Jack Jancin, Senior Vice President of Corporate Development. Thank you. You may begin.
Jack Jancin: Thank you, operator. Good morning, everyone, and welcome to Helen of Troy's second quarter fiscal 2024 earnings conference call. The agenda for the call this morning is as follows. I'll begin with a brief discussion of forward-looking statements. Mr. Julien Mininberg, the company's CEO and Ms. Noel Geoffroy, the company's COO will comment on financial performance of the quarter and current trends. Then, Mr. Brian Grass, the company's CFO will review the financials in more detail and our financial outlook for fiscal 2024. Following this, we will take questions you have for us today. This conference call may contain certain forward-looking statements that are based on management's current expectation with respect to future events or financial performance. Generally, the words anticipates, believes, expects, and other words similar are words identifying forward-looking statements. Forward-looking statements are subject to a number of risks and uncertainties that could cause anticipated results to differ materially from the actual results. This conference call may also include information that may be considered non-GAAP financial information. These non-GAAP measures are not an alternative to GAAP financial information and may be calculated differently than the non-GAAP financial information disclosed by other parties. The company cautions listeners not to place undue reliance on forward-looking statements or non-GAAP information. Before I turn the call over to Mr. Mininberg, I would like to inform all interested parties that a copy of today's earnings release has been posted to the Investor Relations section of the company's website at www.helenoftroy.com. The earnings release contains tables that reconcile non-GAAP financial measures to their corresponding GAAP-based measures. The release can be obtained by selecting the Investor Relations tab on the company's home page and then the Press Releases tab. I will now turn the conference call over to Mr. Mininberg.
Julien Mininberg: Thank you, Jack. Good morning, everyone, and thank you for joining us. Starting with our second quarter results, today we reported net sales and adjusted earnings per share that came in at the high end of our expectations. I'm pleased with the consistency of our results as we work toward returning to growth. I continue to be impressed with how well our organization is executing the ambitious set of initiatives we announced at the beginning of fiscal 2024. This includes delivering our revenue expectations on the majority of our leadership brands and strong performance in international, as well as advancing a wide range of efficiency improvement projects. During the quarter, we made further progress on gross margin improvement and cash flow generation. We significantly expanded gross margins as we realized the benefits of lower inbound freight costs and skew rationalization. We also generated positive free cash flow as we continue to diligently manage our inventory and deployed a portion of our cash to repurchase approximately $50 million of our shares. For perspective, our initiative to streamline inventory over the past several quarters has resulted in a reduction of over $200 million compared to year-ago levels. The progress on free cash flow has also been significant, delivering a $325 million improvement in the first half of this fiscal year versus the first half of fiscal 2023. Our second quarter results not only demonstrate strong execution across our entire organization, they also demonstrate resiliency as we manage through the continued challenging macro consumer environment in which consumers are continuing to shift spending away from discretionary products and more towards discretionary experiences, such as travel and entertainment. That shift in consumer spending patterns has been exacerbated by persistent inflation that forces consumers to make tough choices on all types of spending. Subsequent to the end of the second quarter, we closed on the sale of our office and 400,000 square foot distribution facility in El Paso, Texas as part of our previously announced initiative to improve the efficiency of our assets. We intend to move to a new facility in El Paso to house our US headquarters, which we expect will be a long-term rental property. With El Paso being our largest shared service hub, we expect it to continue to play an ongoing important role for the company and community. We strongly value the work and passion of our dedicated associates in El Paso and are proud of our 55 year legacy in the area. In conjunction with the sale of the El Paso facility, we are also making some organizational moves as part of our ongoing efforts to operate more efficiently. Noel and Brian will provide more detail on these actions during their remarks. Turning to our outlook, we are maintaining our full-year expectations, which include returning to net sales and adjusted earnings per share growth in the fourth quarter of this fiscal year, and significant improvements to our gross margin, cash flow, and net leverage ratio. Our outlook includes our expectation of a continued slower economy and pressure on consumer spending levels and patterns, especially for some discretionary categories. During the quarter, we also made significant progress on planning for the future. This includes further progress executing Pegasus, finalizing our next strategic plan, and continuing a smooth transition to Noel as we prepare for her to become CEO in March. I am very pleased by the performance of our team on the Pegasus restructuring workstreams. Pegasus remains nicely on track as we continue executing and delivering its strategic and financial goals. The work of the Pegasus teams reiterates the strength of Helen of Troy's people and culture as we deliver the outcomes needed to help manage through the current challenging macro environment and we believe Pegasus savings will provide significant additional fuel to fund our strategic investments. During our October 17th Investor Day we will discuss our next strategic plan in detail, which will guide the company's actions during the next era. It is designed to deliver sustainable, profitable growth, create value for our shareholders, and is grounded on our timeless purpose, vision, and values. Before I turn the call over to Noel, I would like to comment on the outcome of our CFO search. Today we announced that Brian Grass, who returned to Helen of Troy as Interim CFO in April has reached an agreement with the company to remain in the CFO position on an ongoing basis. Noel made a great selection and I believe she and Brian will make a great team as the company embarks on its next chapter following my retirement. I will now turn the conversation over to Noel.
Noel Geoffroy: Thank you, Julien, and good morning, everyone. I'm so delighted to welcome Brian back to Helen of Troy's leadership team on a more permanent basis. We conducted a national search, and I concluded Brian is the ideal choice to partner with me now and when I assume the CEO position next fiscal year. Brian and I have worked closely together since his return in April, and I greatly value his experience and perspective. He is a strategic business leader, a collaborative thought partner, and a proven public company CFO with an extraordinary record of delivering results and creating value throughout his career. We believe his results-oriented mindset and deep company experience will help us deliver for all our stakeholders as we enter our next phase as a growth-oriented company. I know Brian shares my passion, energy, and enthusiasm for the opportunities we have ahead of us at Helen of Troy. As Julien mentioned, our Pegasus initiatives remain on track and have enabled improved efficiency and effectiveness in fiscal 2024. We also expect Pegasus savings will help fuel our brands in fiscal 2025 and beyond. As you may recall, one of the seven major Pegasus work streams is all about streamlining our organization. During the second quarter, we initiated a change that aligns with the creation of the Beauty and Wellness segment. With the sale of the El Paso facility, we determined that this is the right time to geographically consolidate our U.S. Beauty business. Effective in fiscal 2025, our U.S. Beauty business, which is currently in El Paso, Texas and Irvine, California, will move to the Boston, Massachusetts area to co-locate with our Wellness business. This co-location is the next step in the company's initiative to streamline, simplify, and enable enhanced collaboration to deliver greater innovation and realize commercial and product platform synergies between Beauty and Wellness. Now turning to our second quarter business results, as Julien highlighted, our consolidated net sales and adjusted EPS were at the better end of our expectations. In recent months, we achieved market share gains in core categories in a number of our brands including OXO, Osprey, PUR, and Vicks, as well as Braun and Revlon internationally where we have visibility. Taking a look at the performance of home and outdoor, net sales were essentially flat to the prior year period. Starting with OXO, we are seeing signs that overall U.S. point of sale is beginning to stabilize in key home categories. While the kitchen utensils category continue to decline compared to the pandemic peak, the rate of decline has slowed. OXO showed strength in the quarter as the brand benefited from new distribution gains in part due to key customers moving to capture market share from Bed, Bath & Beyond after the retailers bankruptcy. OXO also benefited from new product introductions such as the Grilling Prep and Carry System. Our test of OXO Soft Works at Walmart is also continuing to perform ahead of expectations. Overall, we expect OXO to perform well in the balance of the fiscal year fueled by new product introductions, distribution gains, and select club programs. Consumers continue to turn to OXO as a trusted source of quality products that marries innovation with purpose. One example is in cooking, where the brand helps to bring consumers' joy of cooking to life, from the everyday cooks to the gourmet chefs. Feeding consumers' passion for cooking is our [Chefs in Residence] (ph) program, a collaborative series featuring inspiring creators with one common goal, bring a better experience to your kitchen. We were thrilled to introduce the latest additions to this exceptional culinary series a few weeks ago. These new chefs are baked by Melissa's owner, Melissa Ben-Ishay, and the celebrated James Beard award-winning chef Joseph Johnson, also known as Chef J.J. Turning to Hydro Flask. The broader insulated beverage category continued to be skewed toward tumblers with a further decline in the insulated bottle subcategory. As we noted on our July call, we soft launched our new travel tumbler on June 21st exclusively on hydroflask.com to a strong reception. The launch drove traffic to the website, and we benefited from a halo effect in our base business, including an increase in personalized orders. We expanded online distribution of our travel tumbler in late August, and I'm pleased to say, it continues to resonate well with consumers. The product was ranked number one new release in water bottles and number one new release in sport and outdoor on Amazon. We began further rollout to retailers and started to show up on shelf in September with continued ramp up in October. We also recently launched our new insulated sport bottle with an ergonomic shape that fits well in your hand at the gym as it does in the bottle cage of your bike. We believe that Hydro Flask travel tumbler, sport bottle, and other innovations position us well for the upcoming holiday season. Moving now to Osprey. The brand achieved strong growth in the quarter compared to the prior year period, fueled by accelerated travel demand and our improved inventory position compared to fiscal 2023 when COVID related factory closures curtailed supply. Osprey was a standout in the quarter as greater supply coupled with new product introductions and engaging marketing contributed to strength in the U.S. technical, travel and lifestyle categories, a strong endorsement of the brand's relevance to consumers. Internationally, the brand is also performing very well with growth in key regions of Great Britain and Germany. As a reminder, approximately half of Osprey sales are outside the U.S. At the recent Outdoor Magazine industry event in Germany, consumers awarded Osprey second place in the backpack category for the third year in a row. High praise in an important market with demanding consumers. We continue to expect growth from Osprey in the back half of the fiscal year in both the backpack core and in the on-trend travel pack adjacency. Switching gears now to our Beauty and Wellness segment, net sales declined 10.4% driven primarily by skew rationalization and softness in humidification, heaters, and fans, but we're in line with our expectations. In our beauty portfolio, Revlon and Hot Tools appliances drove sales ahead of our expectations in the quarter. We are seeing Revlon trends improve as the brand achieved incremental distribution within major brick-and-mortar retailers. In Prestige Liquids, our newest brand CurlSmith continued to grow strongly versus prior year, and our new Hot Tools Liquid line is meeting expectations at ULTA with two additional skews and continued in-store support coming in the balance of the year. The beauty portfolio continues to distinguish itself in delivering superior consumer benefits, earning important industry recognition. In September alone, both Drybar Crown Tonic and Revlon One-Step Volumizer were recognized in Allure's Best of Beauty Awards, while Drybar, Smooth Shot Hot Styling Brush was selected by People Magazine as the best tool for delivering salon-like results. This adds to the four separate industry awards our brands have already received this year. In our wellness portfolio, water purification was a standout in the quarter, driven by both category growth, as well as sequential market share improvement for PUR faucet mount systems and pitcher systems. PUR also launched an exclusive pitcher and faucet mount collaboration with Beautiful by Drew Barrymore, available only at Walmart. In addition, our North American RMO team secured new placement of one of our PUR pitchers in Family Dollar. This is a promising opportunity in one of the fastest growing and relevant channels in this inflationary environment. As it relates to the International Trade Commission action [BRITA] filed against our PUR products, we are extremely pleased with the recent decision terminating the investigation in favor of PUR. The commission found there was no violation by our company because the BRITA patent at issue is invalid. We look forward to continuing to serve for American consumers' need for lead contaminant-reducing filters. Air purification was also a strong contributor to sales in the quarter. As we mentioned on our July call, the Canadian wildfires that impacted the US drove incremental air purification device and filter sales, as well as inventory improvements. The humidification category was soft in the quarter compared to the prior year period when consumers experienced the summer of 2022 COVID surge of Omicron and its variants. Despite the softer category sales Vicks grew share in the quarter. In thermometry, we continue to see post-COVID normalization in the US category, while international sales remain strong. We remain the branded market leader in the US with our Braun and Vicks thermometers, and Braun remains the strong branded market leader in ear thermometers in most of the countries where it is sold. More broadly on international, sales growth was driven by Braun and Osprey as both brands did very well in both the UK and Germany. Revlon is also having success in major European markets. We continue to strengthen our international operations and our new integrated and optimized sales and marketing organizational design and structure was implemented as of September 1st. International remains a strong growth avenue for us, and we are excited about the opportunities we see ahead of us outside the US. I'd like to close my prepared comments today with a few thoughts on the company's next strategic plan, which we will be discussing at our Investor Day planed for October 17th at the NASDAQ market site in New York. During our Investor Day, we'll also be outlining our specific long-term targets. We see considerable opportunity to deliver growth and profit improvements by focusing on delighting consumers with our outstanding family of brands and further increasing the efficiency and effectiveness of our business units, regional market organizations, and global shared services. We also see opportunity to continue setting the right capital priorities to help accelerate shareholder value creation. Our leadership team and I look forward to sharing our ambitious goals with you. We hope you can join either in person or online for the webcast. And with that, I'd like to hand the call over to Brian.
Brian Grass: Good morning, everyone. Thank you, Noel. I appreciate the kind words, but more importantly, your trust. And I echo your sentiments on our opportunity to deliver for all stakeholders. I'm excited to come out of retirement and partner with you in my role as CFO as we enter our next era. I'm looking forward to working alongside you, Julien, and the rest of the leadership team as we look to finish fiscal 2024 strong and launch our next multi-year strategic plan. I hope to see everyone at our Investor Day in a couple of weeks where we will share more of our plan to maximize the opportunities in front of the company and create long-term shareholder value. Moving on to the second quarter. I'm pleased to report results at the better end of our expectations. We significantly improved gross margin, generated strong cash flow and deployed capital to repurchase our shares, while also taking steps to strengthen our balance sheet and further improve our asset efficiency. Consolidated net sales decreased 5.7%, compared to growth of 9.7% in the same period last year or growth of 3.4% on a two-year stack. Second quarter net sales were favorable to the 8% to 6% decline we provided in our outlook in July. As a reminder, our outlook includes expected year-over-year declines from our SKU rationalization efforts and the impact of the Bed, Bath and Beyond bankruptcy. Despite the impacts of higher inflation and interest rates, we are seeing signs that key categories are beginning to stabilize. And we were pleased to drive point of sale growth with expanded distribution, new product introductions and better supply of inventory. Gross profit margin improved 420 basis points to 46.7% compared to 42.5% in the same period last year, in line with our expectations for the quarter. Year-over-year improvement was due to lower inbound freight costs, the favorable impact of SKU rationalization, lower inventory reserve expense, a more favorable customer mix in Home & Outdoor, and the favorable comparative impact of EPA compliance costs of 130 basis points incurred in the same period last year. GAAP operating margin for the quarter was 9.5% compared to 9% in the same period last year. On an adjusted basis, operating margin declined 120 basis points to 12.7%. The decrease primarily reflects an increase in annual incentive compensation expense, higher marketing expense, increased distribution and depreciation expense due to the opening of our new state-of-the-art distribution facility in Tennessee, unfavorable operating leverage, and a less favorable product mix in Beauty & Wellness. These factors were partially offset by lower inbound and outbound freight costs, a decrease in inventory reserve expense, the favorable impact of SKU rationalization and a more favorable customer mix in Home & Outdoor. On a segment basis, Home & Outdoor adjusted operating margin decreased 180 basis points to 17.7%, driven by increased annual incentive compensation expense, higher distribution and depreciation expense due to the opening of the new distribution facility, and increased marketing expense. These factors were partially offset by lower inbound freight costs and a more favorable customer mix. Adjusted operating margin for Beauty & Wellness decreased 110 basis points to 7.9%, primarily due to an increase in annual incentive compensation expense, higher marketing expense, unfavorable operating leverage and a less favorable product mix. These factors were partially offset by lower inbound and outbound freight costs, reduced inventory reserve expense, decreased distribution expense and the favorable impact of SKU rationalization. Net income was $27.4 million, or $1.14 per diluted share. Non-GAAP adjusted diluted EPS decreased 23.3% to $1.74 per share, primarily due to higher interest expense and lower adjusted operating income. We continued to generate strong cash flow, with cash from operations of $36.7 million in the second quarter. Year-to-date cash flow from operations was $158 million, which is an improvement of $233 million year-over-year. We ended the quarter with total debt of $845 million, which is a slight increase on a sequential basis, despite the repurchase of $50 million of our stock in the quarter. Our net leverage ratio was 2.68 times compared to 2.56 times at the end of the first quarter and 3.16 times at the same time last year. As Julien and Noel mentioned, subsequent to the end of the second quarter, we closed on the sale of our El Paso, Texas distribution and office facility for total proceeds of $51 million. Concurrently, we entered into an agreement to leaseback the office facility for a period of up to 18 months substantially rent free. We expect to recognize a gain on the sale of approximately $34 million in SG&A during the third quarter of fiscal 2024, of which approximately $18 million will be recognized in Beauty & Wellness and $16 million in Home & Outdoor. Turning to our outlook for fiscal 2024, we are maintaining our full year expectations for net sales, adjusted EPS, adjusted EBITDA, free cash flow and ending net leverage ratio. We still anticipate a continued slower economy and uncertainty in consumer spending patterns, especially for some discretionary categories. Although we've seen a general decrease in retailer inventory, our outlook includes the expectation of cautious retail ordering patterns during the third quarter and a more normalized ordering in the fourth quarter. We continue to expect consolidated net sales between $1.965 billion and $2.015 billion in fiscal 2024, which continues to reflect the estimated unfavorable year-over-year impacts of SKU rationalization and the bankruptcy of Bed, Bath & Beyond of approximately 3.4% combined. In terms of our net sales outlook by segment, we expect a Home & Outdoor decline of 1.7% to growth of 1% and a Beauty & Wellness decline of 8% to 5.8%. As noted in our earnings release issued this morning, we have updated our expectations regarding Project Pegasus charges. We now estimate lower total pre-tax restructuring charges over the duration of the plan of approximately $60 million to $65 million, which we now expect to be completed during fiscal 2025. This compares favorably to our previous estimate of approximately $85 million to $95 million, which was initially expected to be substantially completed by the end of fiscal 2024. The reduction in estimated restructuring charges is due to a favorable revision in our assessment of the impact of a potential exit from one of our businesses, partially offset by an increase from the Beauty & Wellness geographic consolidation referred to in our earnings release issued this morning. Factoring in the reduction in expected restructuring charges, as well as the gain on the sale of the El Paso facility we expect to recognize in the third quarter, we now expect an increase in GAAP diluted EPS to $6.36 to $7.03 for the full year compared to our previous expectation of $3.81 to $4.67. We continue to expect non-GAAP adjusted diluted EPS in the range of $8.50 to $9.00, which reflects additional year-over-year expense from the restoration of annual incentive compensation expense to target levels, as well as higher interest and depreciation expense totaling approximately $1.77, net of tax. Moving on to our tax outlook, we now expect a GAAP effective tax rate range of 20% to 18% for the full fiscal year and a non-GAAP adjusted effective tax rate range of 14.5% to 13.5%. In terms of quarterly cadence, we now expect net sales growth to be concentrated in the fourth quarter of fiscal 2024 and a decline in net sales of approximately 4% to 2% in the third quarter. We continue to expect to realize the benefits of debt deleveraging and lower inbound freight and product costs more fully in the second half of the year. Accordingly, we expect growth in adjusted diluted EPS in the range of 1.5% to 12% in the second half of fiscal 2024, with that growth highly concentrated in the fourth quarter. The company now expects adjusted diluted EPS to be roughly flat in the third quarter, reflecting the expectation of more cautious retail ordering patterns in the short-term, a timing shift in the realization of some cost of goods sold savings into the fourth quarter and an expected increase in growth investments in the third quarter. We continue to expect capital asset expenditures of between $45 million and $50 million for fiscal 2024, which includes approximately $25 million for the completion of our new distribution facility and the full installation of its state-of-the-art automation equipment. We still expect that the final cost of the facility and its equipment will be largely in line with our original expectations. With lower CapEx needs in fiscal 2024, we continue to expect free cash flow to be in the range of $250 million to $270 million and our net leverage ratio to be between 2 times to 1.85 times by the end of fiscal 2024. In closing, I'm pleased with our business performance year-to-date, which keeps us on track to achieve our full year financial objectives. I'm encouraged by our progress in advancing key initiatives, while navigating the pressured consumer environment as well as the structural headwinds of higher annual incentive compensation, depreciation and interest expense. Year-to-date, we've improved our gross profit margin by 410 basis points, maintained our adjusted EBITDA margin despite structural headwinds and unfavorable operating leverage, generated $137 million in free cash flow, accelerated debt repayment and returned capital to shareholders. We also took steps to further strengthen our balance sheet and improve our asset efficiency, culminating with the sale of the El Paso facility after the end of the quarter. We remain excited about the opportunities that Pegasus provides to drive further performance improvement and look forward to sharing our longer-term strategic initiatives and financial objectives with you during our Investor Day. And with that, I'll turn it back to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Bob Labick with CJS Securities. Please proceed.
Bob Labick: Good morning. Thanks for taking my question and congratulations to Brian. So glad to hear it, we're looking forward to continuing to work with you.
Brian Grass: Thanks, Bob. Me too.
Bob Labick: That’s very exciting and congrats to all on another solid quarter. I wanted to start with one of your last comments there, Brian, about the change in the Pegasus costs, if I wrote it down quickly as a result of the impact of a potential exit from one of your businesses, could you maybe elaborate on that comment or tell me if I heard it correctly?
Brian Grass: That's correct. So in the original estimates of the restructuring charges, there was and amount designated for our consideration of a potential exit from a business that's currently in the portfolio today. We are still considering that exit, but we have revised and updated our assessment of the opportunities for that exit and have concluded that it would not result -- our belief is, it would not result in a restructuring charge, whereas the initial assessment that was performed is that there was some likelihood that there could be a range of disposal costs and exit costs as a result. But we, again, have updated and revised that and don't feel that we have that potential today. And so we decided that we should take it out of the restructuring cost range.
Bob Labick: Got it. Thanks. Does that mean we might hear more about this? I'll drop this in a second, at the upcoming Analyst Day? Or is this -- I don't know, what's the other change there? Might we learn more soon? Or what's the timing on when you guys will decide, I guess, that -- is that...
Brian Grass: Yes. I mean we continue to work on this project. We do not have anything to report at this point in time. I think it's more likely going to be in the first quarter of fiscal 2025 when we are able to share something with you.
Julien Mininberg: Yes. Within a year, we'll be on the other side it one way or the other. It's good news, it lowers the restructuring charges now. It's good news on a total portfolio basis [indiscernible] report we definitely will seek more.
Bob Labick: Okay. Great. And then I just wanted to kind of go back -- my first question was going to be really on the focus on Pegasus. Obviously, you're making a lot of progress there. And on the sales front, the new regional marketing organization and I think you discussed in the press release some distribution gains already there. So maybe give us a sense of any progress, positive surprises or anything that's turning out to be a little harder than you thought as a result of the new North American RMO.
Noel Geoffroy: Yes. Sure, Bob. This is Noel, good to hear from you this morning. I would say, as you indicated, the North American regional market organization was one of the biggest choices and changes that we made with the Pegasus restructuring. And as you called out, and I mentioned in my remarks and we'll actually speak more about this at Investor Day as we have our leader, [Ron Andesco] (ph) with us that day. But we have -- we did this so that we could look for white space distribution opportunities across the portfolio, looking at either customers where we might play with some of our brands, but not all of them, and we saw an opportunity to scale our presence with them or new customers, new distribution that we could go after with this organization kind of solely focused on that. So we have started to pick up some of those things. We have talked about increasing some of our shelf space in beauty at mass retailers. We've talked about dollar distribution, Family Dollar distribution on PUR. I mentioned that today. So we are getting some of those wins. And I think as we look at the back half of this year and in particular, quarter four, we'll continue to see some of those things layer in, which is part of what gives us confidence in what we're looking at in quarter four. Some of the results of that move. Challenges wise, I don't know probably the biggest thing is just as always, when you're moving organization and people are reporting to different leaders, et cetera, just the settling in period. But I've actually been really delighted at how the teams come together. They were just -- that leadership team was put together a week or so ago. We had a big national sales meeting a couple of months ago. So the energy and the enthusiasm of that team as a single organization has been really fantastic.
Julien Mininberg: Yes. By design, it's continuity even though the restructures and all the ways just said, that the people and the leadership externally focusing to the teams is largely the same and on purpose by design. So not only the way people adapted, as Noel says, but what the market sees when we sell at the power of the scale and all the other method. There's a further side benefit to it that the business units are even more focused on the consumer. So that obsession becomes even more innovation and more focused as opposed to handling the sales market facing -- shopper facing part.
Bob Labick: Okay. Super. And last one, I'll probably will jump back in queue. And just -- I mean, you just mentioned innovation there. Can you give us a sense of new product introductions going forward versus how they've compared in the past? Because obviously, we're kind of, as you said, poised to resume growth very shortly, and I think that's probably a big part of it. But where do you stand on the innovation pipeline and expectations for new product introductions going forward versus how they've looked?
Noel Geoffroy: Yes. Certainly, we continue to feel innovation is very important in all of our segments, both in new product innovation as well as what I call commercial innovation, new claims, new ways to position our brands and our products in the marketplace or new ways of reaching the consumer from a marketing standpoint. So I continue to see a lot of emphasis on that. In fact, as Julian just mentioned, that was one of the reasons we went with the organization structure we did. We've got business units now fully focused on consumers, brands, innovation so that we can take that to the next level, and that is underway. We've got some great innovation in the market now. OXO has always had some terrific innovation the Grilling Prep and Carry, the fridge organizers that have come out this year, continued coffee. Innovation has been strong. Osprey continues to go into adjacent categories like travel. We've also put out in the market. It's not quite out for sale yet, but announced launches in the bike for Osprey, which is a really interesting new vesture for that brand. Hydro Flask, of course, we launched the soft launch for the travel tumbler in the last quarter. We've now ramped up distribution there and just launched a new Hydro Flask sport bottle, that's a unique shape. And then across the Beauty wellness portfolio, many new formulas on Drybar and Curlsmith in particular, addressing a lot of consumer needs. So we continue to have really a lot of innovation across the portfolio, and I continue to anticipate more of that on both the product and the commercial side going forward. And we'll talk more about that in our Investor Day on the 17th as well.
Bob Labick: Super. Thank you so much.
Noel Geoffroy: Yes. Thanks. Bob.
Operator: Our next question is from Rupesh Parikh with Oppenheimer. Please proceed.
Rupesh Parikh: Good morning and thanks for taking my question. So I just wanted to go back to your commentary on inventory destocking. I was curious if you can provide more color in terms of where you're seeing this categories across the trade? And then your confidence in being -- getting back to a more normalized inventory ordering in Q4?
Brian Grass: So yes, and repression might be focusing on our kind of honing of the quarterly cadence and as we get basically greater visibility we are seeing cautious ordering patterns in the short term as retailers factor in things like student loan impact. And keep in mind, a lot of them are ending their fiscal years generally in December and January. Retail inventory in our view is at generally low levels, which is why we are seeing Q4 ordering patterns more in line with the first half of the year. I want to clarify that, we said more normalized in the press release. And I think what we're really trying to say is more in line with the first half of the year, but we see Q3 being slightly below that. I also kind of want to point out that the Q3 comparison is a 10.6% decline in the prior year, whereas the Q4 comparison is a 16.7% decline. So that's part of the explanation as to why we expect Q4 to be stronger against that comparison. We also have had some isolated supply pinches on certain components that are going -- we expect to hurt Q3, but we'll definitely benefit Q4 as we come out of those. And then we have secured distribution gains that we've talked about in the past those were secured in the first half of the year, but those are going to layer into the back half of the year and will be more fully weighted in the fourth quarter. We're also -- and we called it out, we made more marketing investments in Q2. We expect to make even more marketing investments in Q3, which we also called out when we tried to shape kind of the view of our guidance for our -- our EPS guidance for Q3. And we expect more drive from those marketing investments in Q4. And so, we really kind of just see this as a honing of our quarterly cadence as we get greater visibility and get halfway through the year. I hope that all makes sense.
Rupesh Parikh: No, that's helpful. So it sounds like the overall demand backdrop is fairly consistent with what you guys thought maybe last quarter for the full year. Is that a fair characterization?
Brian Grass: I think it's fair. There's obviously puts and takes and a lot of shifting and moving around. But generally speaking, I'd say that's fair.
Noel Geoffroy: Yes. I think generally, we see -- as we're talking means consumers are making choices on where they spend their money, and that's been the case and what we assumed as we kind of came into this year. So we don't see major changes in kind of their -- as they look at inflation, as they look at the student loan repayments, some of the things that Brian mentioned, we don't see major changes in that as we go through the back half of the year.
Rupesh Parikh: Great. Thank you. I’ll pass the line.
Operator: Our next question is from Susan Anderson with Canaccord Genuity. Please proceed.
Susan Anderson: Hi. Good morning and let me send my congrats to Brian, too. It's nice to have you on board. I guess maybe just as a -- as you look at the Beauty business, it sounded like hair tools are starting to rebound, particularly at mass with Revlon. I'm curious what you're seeing kind of in the prestige category, particularly Drybar and if you're seeing any rebound there? And then what you're thinking about new innovation in the category in the back half?
Noel Geoffroy: Yes, Susan. Good to hear from you. So I would say in Prestige, what we continue to see is -- we see a lot of positive momentum in our liquids business, and I mentioned a couple of the innovations there that are doing particularly well. I would say our tool business is. We've got some innovation out there. It's not as strong right now as the liquid business. I would say the consumer is looking to make some choices on where to spend money, the liquids is where we're seeing more action. We've got a thickening spray that's doing quite well, [first] (ph) control spray, these sorts of things are the things that are performing. I see a lot more innovation on tools coming in the future as we look forward. But those liquids are what are performing best for us right now.
Susan Anderson: Okay. Great. And then maybe just a follow-up on just kind of the cadence of the sales and inventory levels. I'm curious how comfortable you're feeling about inventory levels at retail. I think last year, obviously, we had a lot of consolidation. I guess how are you feeling going into the holiday season just in the channel in general?
Noel Geoffroy: Just a general holiday outlook. Is that what you're asking?
Susan Anderson: Yes. Just in terms of inventory levels out there. I mean, with the sales getting shifted into fourth quarter, I mean, do you feel like there's still kind of pockets of higher inventory. Do you guys feel comfortable with where you're at and then just also the industry in general?
Noel Geoffroy: Yes. I would say inventory levels, as Brian mentioned, aren't at very high levels in retail right now. They're relatively low and somewhat in line with consumer consumption. We've seen in a couple of places, I would say, more in the seasonal businesses like cough, cold where retail -- a couple of retailers have done less of a quarter two load in and want to do more of a quarter three, quarter four replenishment model on some of those items like Vicks humidifiers and our consumables with Vicks. The good news is, we've got ample supply this year, more supply this year than we had in the prior year. So we're ready for that when those orders come. I think in holiday, we continue to see good interest in -- coming to your prior question, we see good interest in Drybar and Curlsmith kits. Kits always do very well during the holiday season. So the combination of tool and some of these new liquids that are doing well, those sorts of things are what we're preparing and getting strong traction on from retailers on the parts of our business that are more gift holiday in nature.
Susan Anderson: Okay. Great. That's helpful. And then I guess just last, just on kind of the M&A environment. And as you guys get closer to that 2 time leverage target, how are you feeling about potentially being able to buy something again? And just curious if you're seeing any attractive opportunities out there?
Brian Grass: I think that our leverage is coming down in line or maybe even slightly ahead of our expectations. So that's positive and puts us in a good position. I think as we end the year and get below 2 times, we're definitely in a position to be able to make an acquisition. But the other part of your question is, what are we seeing out there? I would say there is a flow of assets being available, but not a lot that meet our criteria. I would say the market is not strong in that regard currently in terms of quality assets that we would seriously consider that meet our criteria. I don't know Jack is here as well. Maybe you want to add something, Jack?
Jack Jancin: I think Brian's got it just right. There is more flow is starting to come in versus what it's been in the last six months. But items or assets that fit the criteria are things that we are looking for. We're not seeing those yet, but we're going to continue to look, and when we find it, we would certainly lean into one when the time is right and inventory is ready.
Julien Mininberg: You've seen us before, Susan is dulling here and high, we're picky. So as prices come down in the market the equilibrates all that you just heard were not eager dependence on the wrong asset. We're excited to find the right one and we're quite picky on such.
Susan Anderson: Okay. Great. Thanks so much everyone. That’s really helpful. Good luck next quarter.
Julien Mininberg: Thank you.
Operator: Our next question is from Olivia Tong with Raymond James. Please proceed.
Olivia Tong : Great. Thanks. Good morning. A couple of clarification questions first. Just on the element sell-through, I just want to understand on the Q3 versus Q4, is the decline in Q3 due to retailers expecting lower sales and they're adjusting their orders appropriately, but the [indiscernible] inventory on hand doesn't change? Or are they actually looking to hold less inventory because they don't -- it's more of a forward indicator that they think that they don't need as much inventory to drive the sales?
Brian Grass: Yes. And I think it could be a combination of the two. I think they're definitely forming an expectation of what they're expecting for demand and then maybe being cautious in their ordering, reflecting what they are seeing. I also see a general trend of them wanting to generally hold less inventory. And I'm not talking about huge weeks on hand adjustments, but I am -- on the margin, they would like to expose themselves to a little bit less risk as they end their fiscal year. So I would say it's a combination of those two things, but I also want to make the point that we're not talking about wild inventory adjustments and things like that, that would have occurred last year. I think it's more on the margin. But that -- those marginal adjustments do have an impact enough for us to need to adjust for revenue guidance for the third quarter. So it's not hugely meaningful, but enough to change 2 or 3 percentage points in terms of our revenue for the quarter.
Julien Mininberg: [Multiple Speakers] guidance, which means that the back half will produce exactly what we said and including the good news that we brought out today on Q2. So I think people just even looking at the stock price early reaction may be hung up on this idea of is there pressure in the back half. And what we're saying is exactly what Brian just said, that there's a rejiggering of the cadence between Q3 and Q4 and the reaffirmation of the full year results.
Olivia Tong : Got it. And then just sticking on the outlook. The full year outlook is still a pretty wide range considering we're past the midpoint of the year you've historically tried to narrow that a bit by this time. And you've already obviously, talked about the line of sight on Q3 versus Q4 cadence. So perhaps can you provide just maybe some goalposts on what's embedded at the low end versus the initiatives that potentially gets you to the high end of the range.
Brian Grass: Yes. I mean I think it's a good call out. Something considered narrowing. I think you would hopefully agree that there's a lot going on in the macro environment that could have an impact. And I think weighing all of that, including very recent things. We felt like let's go ahead and maintain the range, even though it does result in a wide range, especially for Q4. I think, hopefully, you've seen from our history, at least the history, I know I've been a part of, we're always focused on the high end of our ranges, and that's where we like to steer towards and we like to have conversations around but felt like with all the uncertainty in the environment, it made sense to keep a wide range to account for every -- a lot of different variables that could change over the course of the second half of the year. But we feel very good about our forecast. We feel like we factored in a lot of potential downside impact and left a lot of room for upside on top of our forecast if we're able to hit on all our strategic initiatives. I don't know if you want to add anything there about -- I called out -- or I answered a previous question about some of the things versus Q3 and Q4 that are going to drive that and give us confidence in that I don't know if you've got follow-up questions on those items, I would call those items out. It's being the primary drivers of kind of the Q3, Q4 cadence.
Olivia Tong : Got it. Thank you.
Operator: Our next question is from Peter Grom with UBS. Please proceed.
Peter Grom: Thanks, operator. Good morning, everyone. So I apologize if I missed this, Brian, in your remarks. But is the expectation for full year gross margin to still be around this 48%. And if so, can you maybe speak to the phasing from a gross margin perspective given the more challenged 3Q outlook? And I guess what I'm really trying to get at here is if that's still the expectation that it's more weighted to the fourth quarter, which seems to be the case given the change in the outlook in terms of phasing, like how does that inform your view on the gross margin potential for the business as you look out to fiscal 2025, particularly as Pegasus savings continue to build?
Brian Grass: Yes. Good question. We are seeing the -- that will end the year with a slightly lower gross profit margin implied in our original guidance. And -- but that's really just from shift -- margin mix shift in revenue impacts that are going on. So nothing structural that we're concerned about and no concerns about fiscal year 2025. So structurally, we still have the ability to elevate our gross profit margin and achieve kind of what we've talked about through Pegasus and see that impact through into fiscal year 2025 and we're still realizing the freight and commodity savings in the second half of fiscal year 2024. The -- I'll call it, one percentage point decrease in our full year gross profit margin expectation is really due to shifts in margin mix within our portfolio.
Julien Mininberg: Peter, no impact on our continued confidence that we can build it from there because of your comment about Pegasus. So as Pegasus has ramped, remember, 60% of the Pegasus savings are coming from cost of goods related work stream projects. As Noel reinforced in her comments about Pegasus is nicely on track. So with 60% of such a big number, which is Pegasus published target falling into COGS, it's -- we feel confident to say that not only will we keep the base gross margin gains that are reiterated now or can be used now for gross margin fiscal 2024 but build from there in fiscal 2025, 2026, et cetera.
Noel Geoffroy: And still have reinvestment opportunities.
Julien Mininberg: Yes. In fact, even more reinvestment opportunity because of the fuel from Pegasus and not to get into our Investor Day now, but there's a very positive dynamic. Imagine more dollars coming in resulting in a higher gross margin than even the gains for this fiscal year, fueled by Pegasus, which also fuels the further reinvestment, which also fuels more growth, we start being at the idea not only of a flywheel, but have a higher sustained gross margin going forward.
Brian Grass: Peter, you asked a question about cadence. So I would say, roughly speaking, if you want a platform off of Q2, maybe 0.5 percentage point around that in Q3 and then 1.5%, maybe a little bit higher in Q4, that's kind of the cadence of the increase in gross profit for the remainder of the year.
Peter Grom: Thanks. Just one clarification on that. So the 50 basis points versus Q2, so call it [indiscernible] is the 150 basis points relative to Q3. Or is it relative to the Q2 number, just so I’m clear.
Brian Grass: So the 50 basis points is relative to Q2. So like you said, low 47and then say1.5 points on top of that for Q4.
Peter Grom: Okay. Yes. I was just making sure it was the 47, we're building the point half off of the low 47, not off of the Q2 number [Multiple Speakers] And then just a last question for me, just like more bigger picture. I mean Brian, you're pretty clear that you've embedded enough cushion in your guidance. But I would just be curious, it's been a pretty challenging environment to kind of predict what is going to happen. How would you characterize your visibility, right? I mean we're not that long ago where you were kind of expecting a return to revenue growth in 3Q and that kind of didn't play out. So I guess I would just bigger picture question. How much visibility do you think you have at this stage as you look out to 4Q and into next year?
Brian Grass: I'd say, overall, it's good. I mean I get your point about we did make a change in Q3 that, I think, is a reflection of us staying close to our retailers and listening to what they're having to say and that's reflecting that adjustment as soon as we kind of get that visibility. And look, we can't perfectly predict retailer adjustments at the beginning of the year. So hopefully, what it shows is, us being very responsive to talking to our retailers, and some of them are very focused on student loan repayment and others aren't as focused. And so that's even another layer that we have to get in and understand because you can't make a blanket statement that all of them are adjusting to that, but some of them are. And I would say we're -- it's a reflection of us staying close to our market and reflecting that visibility as soon as we have that opportunity. And hopefully, that gives you some confidence because, like I said, at the beginning of the year, you can't have predicted that this would come up and the retailers some adjusting to it and some not adjusting to it and which ones and all of the puts and takes. So I mean based on kind of the heap of macro puts and takes and things going on right now, I think we're managing our forecast and our visibility as well as we can.
Peter Grom: Got it. Thank you so much Brian.
Operator: Our final question is from Linda Bolton-Weiser with D.A. Davidson. Please go ahead.
Linda Bolton-Weiser: Yes. Hi. So I was curious about your view on putting some cash towards share repurchase versus further debt repayment. And knowing the macro environment and some of these things going on that you just talked about, it's a little surprising that you did the share repurchase already $50 million. I guess, I'm just kind of wondering, have you used all your ammunition? Or is there some ability to do more here with the stock down 9%. Maybe you could just comment on your thoughts there?
Brian Grass: No, I don't think we've used all our ammunition, and we think that the share repurchase was a good investment. And the primary thinking is that even with the repurchase of our shares, we were still able to get to the better end of our leverage target by the end of the year of 1.85 times. And so we thought it was a great thing to do to return some capital to shareholders. We also had a reasonable view on the sale of our El Paso facility and the proceeds that, that would generate, which was also factored into the thinking and helps us be in a very strong balance sheet position to be able to do it. So I view it as a win-win. We're able to get at the very low end of our leverage target for the year, and we were able to repurchase shares. To me, those are both positive.
Julien Mininberg: In terms of timing, I couldn't agree more. Remember, we're going to for the long game. I know a lot of people on this call are too. We like our prospects a lot. I think of the basics. Distribution is growing. Investment fuel from the Pegasus savings gives us the ability to not only expand margin, but also to invest in further drive from innovation and the other basic flywheel drivers in the company. That has the ability to expand not just profitability but revenue, which creates operating leverage, do that at a higher gross margin, do it all at a sweeter mix, so to speak, from a profit standpoint give room for acquisition and as should you see growth in the company and more acceleration of the flywheel, we believe the answer is yes. So the short term that Brian described it creates opportunity lower leverage ratio below 2 times, that he's talking about certainly means that we haven't spent our allocation for this depending with the market, the market is skittish right now, and yet that long-term proposition is fundamentally sound and exactly our expectation and plan makes you want to buy of stock, at least for us.
Linda Bolton-Weiser: Okay. That’s it from me. Thank you.
Noel Geoffroy: Thank, Linda.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to management for closing comments.
Julien Mininberg: Yes. Well, thank you, operator, and thank you, everybody, for joining us today. We're very pleased with the quarter and to be in a position to reiterate our guidance for the full year outlook for fiscal 2024. We look forward to speaking with many of you later this week as we make our various calls and also providing detail on our longer-term strategy during our Investor Day on the 17th of this month. So with that, I'll simply say thanks very much and have a wonderful day.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time and thank you for your participation.